Operator: Good day, everyone, and welcome to Eagle Materials Third Quarter of Fiscal 2020 Earnings Conference Call. This call is being recorded. At this time, I would like to turn the call over to the Eagle's President and Chief Executive Officer, Mr. Michael Haack. Mr. Haack, please go ahead, sir.
Michael Haack: Good morning. Welcome to Eagle Materials' conference call for our third fiscal quarter of 2020. We are glad you could be with us today. Joining me today are Craig Kesler, our Chief Financial Officer; and Bob Stewart, Executive Vice President of Strategy, Corporate Development and Communications. There will be a slide presentation made in connection with this call. To access it, please go to eaglematerials.com and click on the link to the webcast. While you're accessing the slides, please note that the first slide covers our cautionary disclosure regarding forward-looking statements made during the call. These statements are subject to risks and uncertainties that could cause results to differ from those discussed during the call. For further information, please refer to this disclosure, which is also included at the end of the press release. Our results this quarter have been consistent with the outlook that we have been sharing with you, and business conditions remain favorable across our construction markets. Moving forward, we continue to expect demand growth in the low single digits for the foreseeable future. On both the Heavy Side, notably the Portland Cement; and on the Light Side, specifically in Gypsum Wallboard. We also recognized that there are risks to this outlook, but as I have stated before we continue to believe these risks tilt to the upside for calendar 2020. Overall, it was a solid quarter for Eagle Materials. Consolidated revenues were up 5% driven by increased Cement and Wallboard shipments, strong operational execution and improved Cement pricing. Our Cement sales volumes were up 7% to a record 1.4 million tons. Operating earnings from Cement were up 15% over the same quarter a year ago, due to higher sales volumes. Wallboard demand remains healthy and our shipments were up 2%.  However, soft pricing in Wallboard was a headwind affecting operating earnings for the segment this quarter. We do have price increases across all markets in Wallboard and in Cement as well. I’d like to take a moment to update you on major expansion development underway at both the heavy and light side of our businesses. Starting with the light side, we announced a significant expansion project at our Republic Paperboard operations aimed at expanding productive capacity there by roughly 20%. The goal of this expansion is to meet market demand, lower current costs and minimize future cost exposure to white fiber. The project entails the installation of proven technology, but it is technology that is new to Gypsum Wallboard paper manufacturing industry. Republic is a world-class operation and the talented team there will utilize this technology to further extend our competitive advantages on paper performance. The project is expected to be complete this spring and we expect to begin ramping up paper production in the second calendar quarter of 2020. Most of the equipment spend is complete for this project. On the Heavy Side, we announced during the quarter that we entered into a definitive agreement to purchase the Kosmos Cement plant, seven terminals, and related assets from the CEMEX Buzzi joint venture. We are on track to close on this transaction in the fourth fiscal quarter and begin enjoying an immediate contribution to cash flow starting next fiscal year. The transaction has now cleared HSR review. We’re quite excited about the acquisition as this further extends our reach in the U.S. Heartland footprint consistent with our growth and plant network strategy. This acquisition will also provide the Cement business with even more capacity to serve U.S. Heartland Cement markets. The timing of this transaction could not have come at a better time given our intensions to separate the company into heavy and light standalone entities this summer. While we are on the topic of that separation, I want to underscore that we are still on track for a summer launch of the two-parts of the company as we have indicated in prior communications. Also, as I prelude to the separation, we have been evaluating options for the non-core heavy side assets, specifically including our frac sand, processing and distribution assets. While we continue to work on this process, I have no announcements to make yet other than to say, this quarter we wrote down the frac sand assets and have continued to operate this business on a near cash flow breakeven based, while we have been evaluating the alternatives. It is worth noting that excluding this non-routine impairment items, our adjusted net earnings per share was up 22% over the third fiscal quarter a year ago. That’s all from me as far as introductory remarks. Now, let me turn it over to Craig to go through the financials for the quarter.
Craig Kesler: Thank you, Michael. Eagle’s third quarter revenue improved 5% to $350 million, reflecting increased Cement sales volume and pricing, improved Wallboard and Paperboard sales volume, and the results of a smaller concrete and aggregates acquisition. The acquired business contributed approximately $9 million of revenue during the quarter. Third quarter EPS was a loss of $2.77, which includes the impact of several non-routine items during the quarter. Most notably, an asset impairment charge $224 million related to the oil and gas profits business. Other non-routine items were business development cost and the effect of an outage linked to the planned expansion of our paper mill. Excluding the impact of these non-routine items, the adjusted EPS was $1.51. Turning now to segment performance, this next slide highlights the results of our Heavy Materials sector, which includes our cement and concrete and aggregate segments. Revenue in this sector increased 18% driven primarily by 7% improvement in cement sales volume, improved pricing of both cement and concrete and the results of the concrete and aggregates acquisition. Operating earnings increased 19%, again reflecting the improvement in sales volume and pricing. Moving to the Light Materials sector on the next slide, improved Wallboard and Paperboard sales volume was offset by an 8% decline in Wallboard prices, which lead to a 4% decrease in Light Materials revenue. Quarterly operating earnings in our Light Materials business declined 7% to $48 million, reflecting the lower med sales prices, partially offset by higher sales volume. In connection with the expansion of our paper mill, we took an extended outage during the quarter to tie in new equipment. The impact of this outage was approximately $1.5 million during the quarter. In the Oil and Gas Proppants sector, third quarter revenue was down 48%, and we had an operating loss of $7 million. During the first nine months of fiscal 2020, operating cash flow increased 9% to $321 million, and capital spending was down slightly to 84 million. We completed the acquisition of the small concrete and aggregates company during August with a purchase price of approximately 30 million and an advance of our pending acquisition of Kosmos Cement Company, as well as the company separation. We have paused the share repurchase program to manage our capital structure. Finally, our debt-to-cap ratio was 51% at December 31, 2019 with a $126 million of cash on hand. Our net debt-to-EBITDA leverage ratio was approximately 1.8 times at December 31. In advance of the Kosmos Cement acquisition, we established a $665 million term loan facility in December and providing us with a low cost financing source. Post acquisition, pro forma leverage will be at or slightly below three times with good visibility to deliver post acquisition. The Kosmos Cement assets will increase our annual cement capacity by nearly 25% to more than 7.5 million tons and provide an immediate contribution to annual cash flow. As Michael said, we expect the pending acquisition to be completed during our fiscal fourth quarter. We are very excited about this opportunity to grow our cement position and to welcome a talented group of new employees to Eagle. Thank you for attending today’s call. We will now move to the question-and-answer session. Catherine?
Operator: Thank you. [Operator Instructions] And it looks like our first question is coming from Trey Grooms with Stephens. Your line is open.
Trey Grooms: Thank you. Good morning. So, I guess the first one is on, excuse me, the Kosmos acquisition. So, getting deeper into that geographic market, I guess it’s also bringing more long haul or maybe more barging into the picture with the seven terminals. Can you talk about kind of how that plant fits there in your network in the market that it serves, you know, what’s the kind of demand in pricing been like in that market, and kind of the outlook? And then also how this plant might compare to others in your network just from an efficiency or profitability standpoint?
Michael Haack: Sure, Trey. When we looked at this asset, we're very excited as Craig and I alluded to, to get this asset into our network. When we looked at this transaction and this opportunity, you know we are really looking at our cement plant as a network. We have Illinois Cement, Airborne Cement and Sugar Creek that are all in this area and this further enhances, it kind of knits those together that is going to provide better service to our customers throughout this area. As per the plant itself, it was redone in 2002, so it’s a modern plant with a large capacity plant. So, we feel it’s a perfect fit for us to extend our reach and extend our capacity in that market as I’ve said knitting that together as one unit in that area.
Trey Grooms: Okay. Thank you for that, Michael. And then, kind of sticking with the cement, you know there had been some more, kind of competitive behavior against or maybe more competitive than we would have thought at this stage in the cycle, you know within some of your cement markets anyway over the last few years, you know and it seems like the stage should be set for pretty good pricing realization this year given the demand outlook, can you talk about any early reads that you may have around that cement price increase specifically as we look into the spring season, given that backdrop and then kind of tying that in any early comments around the Wallboard pricing for January as well? Thank you.
Michael Haack: Yes. Trey, when you look at it, you know we are out in all of our markets with the Cement price increase. It’s too early to really tell what the market is going to – the market will determine that price and it’s too early to tell what that’s going to be. We’re fairly, you know we’re out everywhere with it. Wallboard is the same thing. We’re out with the Wallboard price increase and we just don’t have enough time yet to see where that’s going to settle out. We will have more information here over the coming months to see what the market determines that price to be.
Trey Grooms: Okay, we’ll stay tuned. I’ll pass it on. Thank you very much.
Operator: Thank you, and our next question comes from Brent Thielman with D.A. Davidson. Your line is open.
Brent Thielman: Great, thank you. Good morning. Could you guys clarify the price increases you’re out within the market on Light and Heavy?
Craig Kesler: Sure, Brent. This is Craig. On the Cement side, we are out generally around $8 a ton in everyone of our markets and generally those are for the spring time closer to April 1. There is couple of markets that were up in January, but it’s generally $8 in April and then the Wallboard price was a January price that we were communicating to customers.
Brent Thielman: Got it. Okay. And then on Wallboard, maybe you could just talk about the demand environment, it seems like some of the early signs are looking healthier, you guys seem to sort of outperform before we see in the broader market and talk about what you’re seeing in the some of your regions just from a demand perspective in the Wallboard there?
Michael Haack: Yes. You know with the underlying fundamentals look good. You know, we’ve consistently said we see low single digit growth in the foreseeable future and that is kind of what we are planning around and there’s nothing to deter us from planning around those numbers, low single digit growth.
Brent Thielman: Okay. Thank you.
Operator: Thank you. And our next question comes from Anthony Pettinari with Citigroup. Your line is open.
Anthony Pettinari: Good morning. I was wondering if you could touch a little bit on the demand you are seeing in some of your regional Cement markets. I think you talked about strength in Texas and Colorado and some weakness in Illinois, just wondering if you had any kind of additional color on regional market strength.
Craig Kesler: Anthony, I think as we’ve said in the past, you know we are seeing improvement in all of our markets and the pace of increase might be slightly different, but I mean to put it into perspective, you know the State of Texas in calendar 2019 was pushing 18 million, 19 million tons of demand. We continue to see good growth here in the State of Texas. That is an enormous number, but even across our other states we’re seeing – you’re also seeing states becoming a more creative or more aggressive in the way they financed their infrastructure spending. You mentioned Illinois, Illinois is a good example where they’ve put some spending budgets in place in order to improve their infrastructure. That doesn’t happen overnight, it happens over a period of time, but we are seeing improvement across all of our markets.
Anthony Pettinari: Okay. That’s helpful. And then just on the Paperboard side, as you think about costs for 2020, you know last year we saw this collapse in OCC prices, I guess they exited the year [$20, $25] a ton kind of historic lows, as you think about Paperboard costs for the next 12 months, specifically on OCC are you expecting kind of prices to remain near these levels and any other kind of cost items that you would call out?
Michael Haack: Yes. Really with regards to the OCC pricing, we’re projecting that, you know it’s a very cyclical market, but it has been fairly flat over the last, you know with a slightly declining trend over the last 12 months and we think that it’s kind of stabilized and we’re projecting a stabilization of that price. There will be minor variances on a month-to-month basis, but overall we’re expecting a fairly flat to slightly rising trends there.
Anthony Pettinari: Okay. That’s helpful. I will turn it over.
Operator: Thank you. And our next question comes from Jerry Revich with Goldman Sachs. Your line is open.
Jerry Revich: Yes. Hi, good morning, everyone.
Michael Haack: Hi, Jerry.
Jerry Revich: I’m wondering if you could talk about how you’re thinking about your Heavy Side network assuming these – the transaction that you’ve highlighted earlier closes and how do you view other white space within the U.S. geography? Just qualitatively, what markets would you view as attractive? Any parameters would be helpful.
Michael Haack: Yes. So, I'm not going to speculate on what becomes available or markets come open, but if you see our historical performance of where we’ve invested our money, you could see this one does fill a white space in our network, and you know, that’s kind of how we look at our network as a whole, how we bring those plans together and that’s what we use as our strategy, filling those white spaces so.
Jerry Revich: Okay. And in the past you folks have spoken about really focusing on land-lock parts of the network. Obviously, we’ve got some barge exposure on the proposed assets. Can you just talk about how your thought process there has evolved and the opportunity in terms of why this particular parts of the asset is interesting to you folks?
Michael Haack: Yes. It really revolves, again, around the location and how it fits with our other facilities. So, you know, when you look at that asset and how it ties together like, you know, I said a little bit earlier was, you know, we have Illinois and then we have Fairborn and we have Sugar Creek, this completes a nice area and the extended reach, while we haven’t been, you know, participating in that market in the past, this does have a extended reach that it fills all those markets with it. So, it’s, you know, how we’ve determined is, barge as one mode of transportation where we’ve done, you know, rail and truck in the past with it and this just completes that network in that area and ties everything together, so that’s why this was a very attractive opportunity for us to participate in. 
Jerry Revich: Okay, thanks.
Operator: Thank you. And our next question is from Adam Thalhimer with Thompson Davis. Your line is open.
Adam Thalhimer: Hi, good morning guys. First question on Kosmos, is the pricing similar in that region to the rest of your wholly-owned regions?
Craig Kesler: Yes, it will be pretty close to the average, Adam.
Adam Thalhimer: And then, how much volume should we bake in? Craig, should we use that $1.7 million figure?
Craig Kesler: Yes. Similar to a lot of the U.S. industry, utilization rates are pretty high. You know, we don’t own it today, but certainly utilization rate is pretty high in that marketplace.
Adam Thalhimer: Okay. Just getting ready for when it closes.
Craig Kesler: Yes.
Adam Thalhimer : And then, on the Paperboard side, pricing down 11%. You said there were some pricing provisions in our long-term sales agreements that brought that down, what’s going on there? How does that play out?
Craig Kesler: So, like we’ve said in that past, most of our volume is contractually sold and those contracts have inflators and deflators based on the price of inputs. And so, there’s the price and the major one being OCC or recycled fibers and as that prices come down, the price we charge to customers comes down with it, so it’s been pretty consistent.
Adam Thalhimer: Okay. And then, Paperboard volumes, would you bake in the full 20% increase in Q2 of 2020? Or does that just kind of layer in over the [year]?
Craig Kesler: Yes. I think as Mike alluded to in the outset. This will be, you know, a ramp over a period of time and, you know, it will come up in March/April time frame. It takes a little while to line out the machine. And then over the next several months, we'll begin to move it into the market, but, yes, it will be – it will ramp over a broader period of time [than that].
Adam Thalhimer: Okay, perfect. Thanks guys.
Operator: Thank you. And our next question comes from Phil Ng with Jefferies. Your line is open.
Phil Ng: Hi, guys. In your, Cement business, assuming demand holds up okay in the fourth quarter, it looks like you are running north of your reported clinker capacity this year. So, is there more you can do to unlock more supply? And does this Kosmos acquisition free up some of that capacity as well for you?
Michael Haack: Yes. So, you know, if you look at it, we all look at it as 12-month rolling too. So, you know, we do have some less busy times a year that we are able to produce more [clean green store] that clinker. We also, on the last call, talked about some of the additional brand capacity we had matched into some of our facilities where we’re able to take that clinker out of storage and grind it and sell in the market. So, we feel comfortable with that side of running these plants full-year and storing that clinker for the busier times of the year to meet some of the increased demand.
Phil Ng: Got it. When we think about calendar 2020, you know, using your outlook of low-single digit growth, does it feel like you have necessary supply to meet that demand? And are you kind of running to the situation you run full out, I imagine you're pretty close, so with that backdrop, what kind of conversations are you having with your customers on pricing? And are they approaching those conversations only differently? Just wanted to make sure they have supply secure.
Michael Haack: Yes. So, you know, we’ve been able to satisfy our customers’ needs. We think we're going to be able to satisfy those needs, you know, through this next calendar year also. We – as Craig stated, you know, we’re out with the $8 number across that market and we’re having those conversations currently with the customers. Let’s see where that settles out so [indiscernible].
Phil Ng: Okay. Got it. And maybe switching gears to Wallboard, when we look at your volumes, it’s pretty solid in a choppy housing environment, but it lagged the region broadly. Curious what’s driving that and if you saw any increased competition in the quarter with our ASP slipping a little bit?
Craig Kesler: Yes. I would say that we’re very happy with where our markets are performing. Our regions, as they have done recently, about four or the national average and we’re excited and look, the latest prints on homebuilding was pretty positive. And we think calendar 2020 will be another good year for volumes.
Phil Ng: Okay. And then, just one last one for me on Wallboard, did you see any pre-buy in the quarter? I know it gets kind of noisy and how should we think about that in the upcoming quarter, normalizing all that stuff out? Thanks.
Craig Kesler: Yes, Phil, I don’t think there was any significant pre-buy activity. And as you said, it’s a little noisier as demand is improving. You know, pre-buy was easier to spot four, five years ago. It’s a little meaningful today than what it was. You know, we just see homebuilding starting to improve.
Phil Ng: Thanks. I appreciate the color.
Operator: Thank you. And our next question comes from Josh Wilson with Raymond James. Your line is open.
Josh Wilson: Good morning. Thanks for taking my questions.
Craig Kesler: Hi, Josh.
Josh Wilson: First off, just a house keeping question, can you give us a sense of where your Wallboard price was exiting the quarter, so we know where to start the January from?
Craig Kesler: It was pretty consistent with the quarterly average.
Josh Wilson: Okay. And what was the revenue impact of the outage in the Paperboard plant?
Craig Kesler: It is as much of a revenue impact as it is a cost efficiency impact.
Josh Wilson: So, then in terms of margin benefit year-on-year adjusting that out, what were the drivers there?
Craig Kesler: Look, our OCC prices, as we've been saying, are very – pretty low even – and energy prices have remained low, but OCC is the major driver there on the margin.
Josh Wilson: Got it. And just to re-ask the prior question then, you feel like your market share is okay in Wallboard and there was nothing timing related or something like that?
Craig Kesler: Our market share hasn't changed more than 40 basis points in five years.
Josh Wilson: Okay. And then, last one for me, your inventory days and payable days were down a fair amount year-on-year, was that timing as well? Or is there a shift or some activity there?
Craig Kesler: Yes. I think as Michael said, you know, on the Cement side, we made some investments on grinding that’s allowed us to [beat through] some of the clinker inventory and, you know, we’re always managing working capital to the best of our abilities and to maximize cash flow, but – and a lot of it is just seasonal timing as well.
Josh Wilson: Got it. Thanks a lot.
Operator: Thank you. And our next question comes from Paul Roger with BNP Paribas. Your line is open.
Unidentified Analyst: Hi, this is [indiscernible] on for Paul Roger. I wanted to start by asking can you comment on the outlook for cost inflation and sort of remind us of your hedging policy, especially for natural gas. Thank you.
Craig Kesler: Yes. As we sit here with the majority of our cost inputs, you know no significant inflation. You think about things like OCC, natural gas, you know, it’s more on the Light side. You know on the Heavy side it is energy oriented with electricity and fuels. And you're seeing some inflationary pressures, but nothing unusual there, you know, across the business platform. In terms of hedging, yes, with gas, you know, well below $2 now, we’re making – you know we are putting some hedges in place for certainly the next 12 months and looking out, you know, to fix those costs into these very low levels.
Unidentified Analyst: Great, thank you. And just one follow-up, obviously you’ll be closing the Kosmos sale shortly, are you – would you look at making more investments into Cement, obviously, despite the upcoming separation? Is that something that you would look at doing?
Michael Haack: You know, right now [indiscernible] we’ve – we always look at any opportunities that come available. You know, I don’t want to really discuss on. You know it would be open to investing more into the thing. You know what we’re concentrating on right now is, you know, the separation of these companies that will happen in the summer months, so that’s where the management team is focused right now.
Unidentified Analyst: Fair enough. Thank you.
Operator: Thank you. Our next question comes from Adrian Huerta with JP Morgan. Your line is open.
Adrian Huerta: Thank you, and thank you for taking my question. Two very specific questions, one on Cement freight cost, you said in prior quarter that costs were stabilizing; can you tell us how the cost was this quarter? And the second question is on the separation cost, that it was a little less than $3 million in the previous quarter, what was the amount in this quarter? Thank you.
Craig Kesler: Yes, I like to answer your first question – your last question first, so we were $3.4 million as we highlighted in the press release for kind of what I’ll call business development cost. That certainly included the separation. It also included fees around and costs associated with the Cosmos acquisition that we incurred just prior to the announcement. And then in terms of cement freight and I’d say freight in general, you know, we’re not seeing major changes there. The trend has been pretty flat benign, you know, for the last 12 months. And, you know, again, there’s always a little bit of cost pressure there, but nothing like what we saw two years ago.
Adrian Huerta: Thank you.
Operator: Thank you. And we have a follow-up from Brent Thielman with D.A. Davidson. Your line is open.
Brent Thielman: Hi, thanks. Just one quick one on the Kosmos transaction, in the original release, you guys talked about this $120 million in tax benefits, any more color to that and kind of how you would – we could think about you recognizing that once this is done?
Craig Kesler: Yes, Brent, you know, that’s a great question. It’s a very important part of the investment. So, with tax reform, we are able to immediately expense or deduct a significant amount of purchase price. We're going through that process right now, but using the Fairborn allocation as a parameter, there will be a three significant depreciation deduction here in year-one right upon closing of the transaction that will very likely move us into an NOL position from a tax perspective and that will be able to be carried forward with both of the companies even post separation. So, we’ll be in the enviable position of minimal taxes being paid. So, again, all that free cash flow inevitably improved as a result of this, but that’s where that $120 million comes from is that immediate deduction for a big chunk of the purchase price.
Brent Thielman: Okay, that’s great. Actually one more quick one of the paper mill, do you expect any more outages or downtime here as this expansion gets wrapped up that might have some impact on the cost basis?
Craig Kesler: Yes, that will – we – as Michael said, we’ll wrap it up here this spring, so very likely in March will be a pretty extended outage, even more so than this past quarter and we’ll certainly quantify that for everybody on the call, but that will impact our March quarter to tie in the new total equipment package.
Brent Thielman: Yes. Okay, alright, thank you.
Operator: Thank you. And I’m showing no further questions at this time. I’d like to turn the call back to Mr. Michael Haack for closing remarks.
Michael Haack: Thank you everybody for attending the call today, and we’ll look forward to speaking with you again in the summer.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating, you may now disconnect. Everyone have a great day.